Operator: Welcome to the Robert Half International Conference Call to discuss Second Quarter 2008 Financial Results. Our hosts for today's call are, Mr. Max Messmer, Chairman and CEO of Robert Half International and Keith Waddell, Vice Chairman, President and Chief Financial Officer. Mr. Messmer, you may now begin.
Harold “Max” Messmer, Jr - Chairman and Chief Executive Officer: Thank you. Good afternoon and thank you for joining us today. Before we begin, I would like to remind everyone that comments made on this call contain predictions, estimates and other forward-looking statements. These statements represent our current judgment of what the future holds and they include words such as forecast, estimate, project, expect, believe, guidance, and similar expressions. We believe these remarks to be reasonable but they are subject to risks and uncertainties that could cause the actual results to differ materially from the forward-looking statements. Some of these risks and uncertainties are described in the press release we issued today and in our SEC filings. We assume no obligation to update the statements made in the conference call today. Now, let's view the second quarter results. Second quarter revenues were $1.22 billion, up 7% from the second quarter of last year. Income per share was $0.48, an increase of 9% from the prior year's second quarter. Cash flow from operations was $119 million and capital expenditures were $22 million during the second quarter. We paid a quarterly cash dividend to stockholders of $0.11 per share for a total of $17 million. We also repurchased 3.5 million RHI shares during the quarter at a cost of $85 million. Approximately 4.7 million shares remain available for repurchase under our Board approved stock repurchase plan. We were pleased with the... our business performance during the second quarter. Revenues for our staffing operations remained at near record levels, due in part to continued robust growth in our international operations. Our permanent placement operations had a particularly good quarter with revenues and earnings reaching all-time high levels. Our return on equity was 29% for the quarter and has averaged 25% for the last five years. Now, I will turn the call over to Keith to provide a more detailed analysis of our second quarter financial results. We will have time for questions after our prepared remarks.
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: Thank you, Max. Well at first, the company-wide revenues, second quarter revenues were $1.22 billion, an increase of 7% from the second quarter of last year and flat sequentially or 64 billing days in the second quarter of this year compared with 63 billing days for both the second quarter of last year and the first quarter of 2008. Accountemps revenues were $459 million, up 6% from the second quarter of last year and down 3% sequentially on a same-day basis. Accountemps is our largest staffing division with 373 offices worldwide. It accounts for 38% of company revenues. OfficeTeam, which is our high-end administrative staffing division had revenues of $219 million for the second quarter. This is an increase of 1% from the second quarter of last year and a decrease of 2% sequentially on a same-day basis. OfficeTeam which was introduced in 1991 has 327 locations worldwide and represents 18% of company revenues. Second quarter revenues for Robert Half Management Resources were $165 million, up 9% from second quarter of 2007 and down 4% sequentially on a same-day basis. This division was introduced in 1997 and places [ph] senior level accounting and finance professionals on a project basis. It has 152 locations worldwide, it makes up 13% of company revenues. Revenues for Robert Half Technology were $113 million in the second quarter, up 7% from the second quarter of last year and flat sequentially on a same-day basis. Robert Half Technology was introduced in 1994 and places information technology professionals on a consulting and full-time basis. This business operates in 114 locations worldwide and accounts for 9% of company revenues. Robert Half Finance and Accounting, a permanent placement division had revenues of $128 million in the second quarter, up 11% from the second quarter of 2007 and up 9% on a same-day sequential basis. This business was established in 1948 and operates in 373 locations worldwide. It accounts for 10% of company-wide revenues. Second-quarter revenues for our international staffing operations were $318 million, up 36% from the second quarter of 2007 and up 6% sequentially on a same-day basis. On a constant-currency basis, these growth rates were 24% compared to the second quarter of the last year and 4% sequentially. We have staffing operations in 108 locations in 18 countries outside the United States. International staffing operations represents 29% of total staffing revenues. Protiviti revenues were a $141 million in the second quarter, up 8% from one year ago and down 1% sequentially. Formed in 2002, Protiviti is a global consulting and internal audit firm composed of experts and risk and advisory services. It has 61 locations in 16 countries and accounts for 12% of total RHI revenues. Protiviti's international operations represent 31% of total Protiviti revenues. Now, let's review gross margin. Second quarter gross margin in our temporary and consulting staffing operations was $349 million or 36.5% of applicable revenues. This compares with 37.1% of revenues for the second quarter of the last year and 36.7% of revenues for the first quarter of 2008. The small percentage decline is due primarily to lower conversion revenues. Overall staffing gross margin was $477 million for the second quarter or 44% of staffing revenues. This compares to 44.2% of revenues in Q2, 2007 and 43.5% of revenues in Q1, 2008. The higher mix of permanent placement revenues offset the slight sequential decline in temporary and consulting gross margins, just mentioned. Second quarter gross margin for Protiviti was $40 million or 28% of Protiviti revenues. This compares to 32.3% of revenues in Q2, 2007 and 28.2% of revenues for the first quarter of 2008. The year-over-year margin decline is due to the higher mix of non-U.S. revenues and investments in staff during the past year to drive the expansion of Protiviti's solution practices. Turning to selling, general and administrative cost, staffing SG&A cost for the second quarter were $355 million or 32.8% of staffing revenues. This compares to 33% of revenues for the second quarter of 2007 and 32.7% of revenues for the first quarter of 2008. SG&A cost, as a percentage of revenue declined this quarter for both our permanent placement and temporary and consulting divisions. Second quarter SG&A cost for Protiviti were $38 million or 27.1% of revenues. These cost were $1.3 million lower than for the first quarter of 2008,when the percentage of revenues was 27.8%. Looking at operating income, operating income from our staffing division was $122 million during the second quarter or 11.3% of staffing revenues. Temporary and consulting divisions contributed $97 million of this amount or 10.1% of applicable revenues. Second quarter operating income for our permanent placement division was $25 million or 19.9% of applicable revenues. Overall, staffing operating margins at the 11.3% level are among the highest we've reported in the last nine years. This quarter benefited not only from strong permanent placement revenues but also sequentially lower SG&A percentages in both our permanent placement and temporary and consulting divisions. Operating income for Protiviti was $1.3 million in the second quarter, or 0.9% of revenues. This compares to $0.5 million in the first quarter or 0.4% of revenues. Protiviti increased its operating income modestly during the quarter, despite slightly lower revenues seasonally due to the SG&A reductions just mentioned. Turning to accounts receivable at the end of the second quarter, accounts receivable were $631million, was in place... play [ph] days outstanding or DSO were 46.9 days compared to 46.8 days at the end of the second quarter a year ago. Now let's turn to guidance. We saw the following trends during the second quarter and the first few weeks of July. On a same day sequential basis, temporary and consulting revenues were down in April, down in May, and down again in June. On a same day sequential basis, the permanent placement revenues were down in April, up in May and up again in June. During the first two weeks of July, revenues from our temporary and consulting businesses were up 1% compared to the same period last year. For the first three weeks of July, revenues from our permanent placement division were flat relative to the same period last year. As we've said many, many times before it's very difficult to assess perm trends over such a short period of time. Taking into account these trends we offer the following third quarter guidance. Revenues $1.160 billion to $1.200 billion, earnings per share $0.42 to $0.45. As you know we limit our guidance to one quarter, the estimates we provided on this call are subject to the risks mentioned in today's press release. Now I'll turn the call back over to Max.
Harold “Max” Messmer, Jr - Chairman and Chief Executive Officer: Thank you, Keith. As previously noted, we were pleased with the company's performance during the second quarter particularly in light of economic conditions in the United States. We reported year-over-year revenue gains in both our temporary and permanent placement operations and our permanent placement business grew sequentially as well. While this was partly a result of strong international markets, it also reflects the continued U.S. demand we are seeing for our services. This was a record quarter for our Robert Half Finance and Accounting Business. International operations are now close to 30% of our business and during the second quarter, we saw a strong staffing growth in Continental Europe, the Asia Pacific region and Brazil. We are aware that the U.S. economy could see continued slowering [ph] and that this could affect other countries in the future. Our team has experienced, managing successfully in these environments and we believe we are well positioned. As we noted on last quarter's call, our business is free of customer or industry concentrations, which does afford us some flexibility. Our typical staffing clients were small and medium-sized businesses and no single account amounts to a significant percentage of our revenue. Protiviti further enhances our suite of services. We are helping our organizations solve problems in finance, operations, technology, litigation and compliance and we remain a leader in internal audit. We have demonstrated strong cash flow capability in weak and strong economies and we have what we believe is the most experienced field management team in the industry. Demographic trends also benefit us as we have discussed before on these calls. The anticipated exodus of the Baby Boomer work force in the coming years places added pressure on the need for skilled workers. In addition we believe the market for highly specialized interim workers will continue to expand globally. Company [ph] regular staff with highly skilled project professionals offers companies a cost effective way to bring together the specialized skills they need at precisely the times they need them most. At this time Keith and I will be happy to answer questions. We would ask as usual that you please limit yourself to one question and a single follow-up if needed. If you have additional questions, we will certainly try to return to you later in the call. Thank you. Question and Answer
Operator: Certainly we will take our first question from the side of Andrew Steinerman of J.P. Morgan. Go ahead please.
Andrew Steinerman - J.P. Morgan: Hi, gentleman. The performance at Protiviti is coached [ph] by the slow seasonality of any second quarter? Could you give us some feeling within your kind of your third quarter guidance how do you expect Protiviti to do both on kind of a revenue, but more importantly on a margin basis?
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: So, Andrew you correctly surmised that second quarter was still seasonally slow. We would expect some seasonal pickup in revenues in the third quarter because of the cost reduction efforts we've accomplished during this quarter. That revenue increase will largely fall to the bottom line. So we're... we feel good about where we are heading into the seasonally stronger second half of the year.
Andrew Steinerman - J.P. Morgan: Right. Typically the third quarter is your strongest seasonal quarter for Protiviti, right, sequentially?
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: Well, actually fourth quarter... third and fourth are strong. Typically, in the third quarter some of your revenue increase offsets staff increases, staff raises that happen July 1.
Andrew Steinerman - J.P. Morgan: All right.
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: Because of the cost-cutting efforts during the quarter just ended, we feel like for the most part we've deceased those increases. We still aim increases to be competitive, but those will be offset by the savings such that we should get a much better margin picture in the third quarter assuming we get the seasonal revenue pickup we traditionally see.
Andrew Steinerman - J.P. Morgan: Sounds good. Thanks for clarification.
Operator: Thank you. We'll take our next question from the side of Mark Marcon of Robert W. Baird. Go ahead please.
Mark Marcon - Robert W. Baird & Co., Inc.: Good afternoon and a terrific job in a tough environment. I was wondering, can you talk a little bit about perm and what percentage of that is international and what sort of differences your seeing in the perm side between the international versus the U.S markets?
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: Well, clearly there is a tale of two cities economically between what we see in the U.S and what we see outside the U.S. In the U.S we saw a gradual slowing perm and temp that occurred throughout the quarter. But the good news in the U.S is we were fairly aggressive in our cost-cutting efforts and notwithstanding the lower revenues, we maintained our margins. Outside the U.S, which is again as we spoke on our prior calls, it's more perm oriented than is the case in the U.S. We performed quite well during the quarter. If you look at the profile of our non-U.S. business, in orders of magnitude it's about 40% from Europe, 25% from the U.K., 25% from Canada, and 10% from Asia Pacific. Continental Europe did particularly well during the quarter as did Asia Pacific which is smaller. The UK showed some slowing nothing dramatic but there was gradual slowing during the quarter in the UK. And Canada track more like the U.S. than it did Europe.
Mark Marcon - Robert W. Baird & Co., Inc.: Great. And then it looked like you did just a terrific job in terms of managing the SG&A.. I'm assuming that that was primarily in the U.S. and is that a trend that should continue going into the third quarter?
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: That is primarily the U.S., again as we talked about on the last call, we said that our headcount would be down at the end of the second quarter versus the first. We did not replace a lot of the attrition that we had during the quarter, plus selectively we made some reductions such that our SG&A for the second quarter in the United States actually came down nicely. We will continue to monitor revenue trends in the United States and we'll adjust our cost accordingly.
Mark Marcon - Robert W. Baird & Co., Inc.: Excellent, thank you.
Operator: Thank You. We will take our next question from the side of Jeff Silber of BMO Capital Markets. Go ahead please.
Jeffrey Silber - BMO Capital Markets: Thanks so much. Just want to shift the discussion to the perm side. You talked about the inter quarter growth on a same-day sequential basis. What do you attribute that to, is it more of a focus internationally, was it improved productivity, if you can give us some color on that will be great?
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: Well, over the course of the quarter in perm we improved sequentially in the second two months. Clearly we've made a bigger investment from a headcount standpoint in perm relative to temp. So we would expect relative strength one to the other. Further, many of the company's countries outside the United States in their early years our first perm placement only, latter perm placement and management resources. So you've got a outsize contribution from the newer countries of perm.
Jeffrey Silber - BMO Capital Markets: Okay, you had mentioned in your remarks about some investments in the Protiviti solutions business. If you can give us a little bit color on that as well, thanks?
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: Yes, right. And so as Protiviti diversifies its revenue base, it needs particularly higher-level people to drive those practices. So we're seeing success in things like in consulting engagements with controls for mediation, life cycle asset management, IT security, IT privacy, business continuity each of which need leaders and the point as to margin the leaders of the top of the pyramid is more expensive than rest of the pyramid and whereas we've rationalized our cost nicely in Protiviti overall. It's been more weighted to the bottom of the pyramid because we've had to invest in leaders for these consulting practices at the top of the pyramid.
Jeffrey Silber - BMO Capital Markets: Okay great. If I could sneak in quick numbers question. What was stock based comp in the quarter?
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: Options was 1.1 million, restricted stock was 16.2 million.
Jeffrey Silber - BMO Capital Markets: Great, thanks so much.
Operator: Thank you. We'll take our next question from the side of Tim McHugh of William Blair and Company. Go ahead please.
Timothy McHugh - William Blair and Company: Yes. I wanted to ask on Protiviti, you mentioned the cost cutting efforts there. Was that mainly cutting out under performers or did you... or are you more aggressive than that and was there anything else implied by that statement?
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: Well, there has been this ongoing rebalancing of Protiviti's resource base and Protiviti's demand base, which is skewing more and more towards these consulting services. So as we look at that rebalancing, some people fit better than others and that's the principal driver of how we determined our headcount levels.
Timothy McHugh - William Blair and Company: Okay. And then the... I know you have always given the caveat you're not economist but as we move further through this cycle I was wondering if you can give us update thoughts just on how this compares may be to what you're seeing in the field growth of the past economic cycles?
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: Well, clearly so far, it's been much more gradual in the United States. We've gradually slowed now for a few quarters in the U.S., non-U.S. is still growing nicely as we talked about. But clearly it's more gradual, so far relative to prior downturns. When you look at our guidance for the third quarter at the low-end we assume that our July start which frankly was a little bit slow continues and actually moderates even a little more for the course of the quarter, whereas on the high-end we assume we do a little bit better for the quarter than our July start. Keep in mind our July start does include the 4th of July. And the holidays tend to make for unpredictable outcomes for the days before and after.
Harold “Max” Messmer, Jr - Chairman and Chief Executive Officer: Tim, one more thing I would add to that is that if we are in a recession currently it's certainly a lot different than the ones we've experienced in the past. We would have normally expected the perm business to be much more greatly impacted, we wouldn't be expecting to set new record numbers as is the case currently.
Timothy McHugh - William Blair and Company: Thank you.
Operator: Thank you. We will take our next question from the side of David Feinberg of Goldman Sachs. Go ahead please.
David Feinberg - Goldman Sachs: Good evening. You'd mentioned in your earlier comments that one of the ways you are cutting cost in the U.S. was by not replacing placing attrition. Perhaps you can give some insight in terms of what attrition rates are and if that's tracking in line with what they have been historically?
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: While we don't talk about attrition rates, I can tell you that in the staffing division, the headcount reductions we did were in the mid-single digit percentage levels. And on the Protiviti side, it was the mid-to-high single digit percentage wise.
David Feinberg - Goldman Sachs: And that includes if attrition as well as --?
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: That's for everything. That's total headcount, quarter two versus quarter one.
David Feinberg - Goldman Sachs: Okay. And then maybe a quick number of question. You talked about CapEx in the past of $80 million, $90 million, it looks like you're tracking a little late, is that the right number to keep using?
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: Yes, it was heavier this quarter at $22 million than last. So, yes, we are sticking with that. The big... the big project we got going on is the upgrade of our PeopleSoft Systems, which are ten years old, but there is no new news on CapEx.
David Feinberg - Goldman Sachs: And all that spending flows through the capital line, right, the PeopleSoft?
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: That's right.
David Feinberg - Goldman Sachs: And then, is there a benchmark you can give us about how far along you are and how long you expected to continue?
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: We dragged our feet forever. We are a third of the way, 25% of the way, something like that.
David Feinberg - Goldman Sachs: Great. Thank you very much.
Operator: Thank you. We'll take our next question from the side of Brandt Sakakeeny of Deutsche Bank. Go ahead please.
Brandt Sakakeeny - Deutsche Bank Securities: Thanks. Hi, Keith, a couple of questions. First on Protiviti, would you expect with the investments that you might see a reacceleration in Protiviti in the back half or are these investments really just designed [ph] to sort of maintain flat sequential growth rates?
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: We certainly hope for a sequential growth in the second half consistent with what we've had in the past that would be our hope. Further, it's our hope that we have positive operating income comparisons for the first time in a long time in the third quarter, which would be absolutely wonderful. We feel really good about the way the Protiviti management has addressed their cost structure, not only in the United States but outside the United States as well. So, we feel like we're very well positioned. We just need a little [inaudible] at the revenue line and we will... you will see the kind of margins we are more accustomed to.
Brandt Sakakeeny - Deutsche Bank Securities: Right. And then on the perm side, obviously on that business, there is some lag effect as folks who generate business sort of produce business in the second quarter, so would you sort of assume that these are peak margins for this year in perm and that they would moderate somewhat as we progress seasonally through the back half?
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: Traditionally, the second quarter is the best quarter of the year for perm. So even last year, we hit a little less in the third quarter than the second sequentially. The summer months are never quite, they're just vacations and other reasons why Europe takes August off that it's not as strong. And so, I don't think you should expect huge improvements in margins. That said, we are still very committed particularly in the United States to continue to look at our headcounts and our payroll cost investments relative to the revenues.
Brandt Sakakeeny - Deutsche Bank Securities: Okay, great. If I can squeeze one more in, just in terms of 4th of July in Europe, obviously, they don't celebrate it. Could you just give us a sense for, maybe how those markets performed in July specifically outside of the U.S. markets that were affected by the holiday?
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: Weekly reporting outside the United States is not a science quite frankly, and so what we gave you included the results, but there is a lag particularly in permanent placement between when they write up their orders, when all the paperwork makes it all the way back here. So I'm not terribly confident that we are precisely correct on a weekly basis outside the U.S. I mean, it's in a ballpark, but we do a much better job on a monthly and obviously quarterly basis there. But again, overall we said we are off to a bit of a slow start in the third quarter post the 4th of July, principally in the United States. And outside of the United States, I wouldn't read much one way or the other into the little data that we have there. I guess the reality is as International gets larger as a percentage of the total, we'll have to start paying more attention to their weekly reporting.
Brandt Sakakeeny - Deutsche Bank Securities: That's very helpful. Thank you.
Operator: Thank you. We'll take our next question from the side of Kelly Flynn of Credit Suisse. Go ahead please.
Kelly Flynn - Credit Suisse: Sorry, my headset was off. Thanks, a couple of questions, probably to go back to Europe but you guys did so well in Continental Europe whereas headlines are obviously quite weak. I know you don't want to give a lot of a quantitative color but could you give more qualitative color on just kind of what you saw as the quarter progressed, you are getting any sense that the bigger slowdown is imminent or you are feeling like things are just business as usual? And then the second one more simple, just on share count, what should be used for the third quarter?
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: Okay. The second one is easy. The 2 million shares that we bought in the second quarter didn't benefit the second quarter and benefit the third quarter. As to Europe, first of all, understand our country mix is quite different than the Continental European country mix of the other staffing firms and that Belgium... Belgium by far is our largest continental European country seconded by Germany, and then France is number three. And so... therefore the trends in Belgium and Germany are a bit different than what you see in France. I would say generally speaking, our team in Europe, Continental Europe particularly remains very optimistic. Our guidance quite frankly hedges that a little bit in our efforts to attempt to be conservative, but we talked to them as late as yesterday and they still feel pretty good about life.
Kelly Flynn - Credit Suisse: Okay. Thank you so much. That was really helpful.
Operator: Thank you. We'll take our next question from the side of TC Robillard of Banc Of America Securities. Go ahead please.
Thomas Robillard - Banc of America Securities: Great. Thank you. Good afternoon, guys. Just wanted to drill down a little bit more on the SG&A leverage, I mean, clearly very strong in the quarter, much better than even where you were guiding. I am just surprised. If I just quickly back into your guidance, you are looking for, at least, on a net profit basis for margin contraction sequentially, I am just wondering is this a... is this a revenue mix issue which is what you are guiding to, is this just being conservative given some of the trends that you've been seeing and kind of what you're reading in the headlines? I am just trying to reconcile the really strong leverage with the cost controls in the second quarter without really seeing similar types of benefits in the third quarter?
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: So, A, our attempt is to be conservative with our guidance. B, our guidance has lower sequential revenues in temp and perm, and therefore, contemplates a little bit of negative SG&A leverage. And C, as we just talked about, perm traditionally, even during very strong years is a little softer in the third quarter than the second because of summer vacations etcetera which also puts a little pressure on margin. So, for a combination of all of those factors, margins are... our margin estimates are a little bit lower in the third quarter, not dramatically lower, but a little bit lower than what we just reported.
Thomas Robillard - Banc of America Securities: And so, then as we are looking specifically on the SG&A line should.... as a percent of revenue, then we should see that tick-up a bit quarter-to-quarter?
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: Our guidance contemplates a small tick-up quarter-to-quarter.
Thomas Robillard - Banc of America Securities: Okay. Great. Thanks for the color.
Operator: Thank you. We will take our next question from the side of Andrew Fones of UBS Security. Go ahead please.
Andrew Fones - UBS Securities: Yes. Thanks. Staffing SG&A was about flat sequentially in Q2 from Q1, looks like you wound up about four offices in the quarter and if I can imply from your comments about attrition, we might have seen headcount and a full compensation fall by mid-single digit, were those two the only offsetting impacts there to cause the flat sequential SG&A, or was there anything else we should be aware of, and was there kind of any timing impact there that will play through into Q3 things?
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: So, the principal factor is payroll cost, which is headcount. The new offices were a very slight offset to that. Clearly there is some carry-over into third quarter benefits. We didn't have a full quarter benefit in second quarter from the reductions that we made, but our view at the moment, that becomes our little cushion for the third quarter.
Andrew Fones - UBS Securities: Okay. Thanks. And then can you perhaps help us understand what your plans are in terms of [inaudible]... I see, you opened just one office in the US, three internationally?
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: I think the offices we opened internationally, one in Canada, one in Australia, one in Brazil, so we'll continue to open a small number of locations outside the United States. Given the market conditions in the United States, I don't think you should expect to see any significant number of new offices, at least, for the near-term.
Andrew Fones - UBS Securities: Okay. Thanks. And if I could just sneak one other in, Protiviti, I was wondering if you could give me an approximate size for the bankruptcy and restructuring group within that division? Thanks.
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: Yes. We don't break out the size of our practice or solution areas. Bankruptcy and restructuring is something we are very excited about and something that's doing quite well as we speak. We made a little acquisition over a year ago as you might remember and we are very pleased with how it's performing.
Andrew Fones - UBS Securities: Okay, thanks.
Operator: Thank you. We'll take our next question from the side of Tobey Sommer of SunTrust Robinson and Humphrey. Go ahead please.
Tobey Sommer - SunTrust Robinson and Humphrey: Thank you. I was wondering if you could comment on the relative contribution between staffing volumes and bill rate increases in terms of the contribution to revenue growth?
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: So, bill rates and staffing year-over-year are up about 8%. Sequentially, they are up 1.5% and particularly, sequentially that's up a little less than it was last quarter and consistent with... you've got a somewhat slowing market in the United States.
Tobey Sommer - SunTrust Robinson and Humphrey: And in terms of the volume growth on the staffing side, that would imply some lower volumes in the U.S. in 2Q and in a... and still showing pretty resilient growth on the international side as they are much... in terms of bill rate increases that are different internationally versus the U.S., is that 8% kind of hold true for both domestic and international bill rates?
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: Well, clearly it's more robust outside the U.S. than inside the U.S. and as you play through a slowing environment in the U.S., what happens is that you get pressured by clients on the bill rate side. You turn right around your candidates and say, 'I understand, I paid you $25 an hour for the last assignment, but the market changed. And this assignment, I can only pay you $24 an hour'. And therefore, you protect your margins in a slowing environment with lower pay rates notwithstanding the fact that you have lower bill rates.
Tobey Sommer - SunTrust Robinson and Humphrey: Right. Could you refresh my memory as to what the sequential change was in bill rates in 1Q because you did mention some deceleration in the rate of growth?
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: It was around 2%, I think precisely it was 1.8%.
Tobey Sommer - SunTrust Robinson and Humphrey: Thank you very much.
Operator: Thank you. We'll take our next question from the side of Gary Bisbee of Lehman Brothers. Go ahead please.
Gary Bisbee - Lehman Brothers: Hi, guys. Good afternoon. Can you tell us did the perm business in the U.S., is that actually up year-over-year or was it down in international [inaudible]?
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: Perm business was down by a single-digit percentage year-over-year.
Gary Bisbee - Lehman Brothers: Okay.
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: But there as well, we rationalize our cost structure such that our margins weren't negatively impacted.
Gary Bisbee - Lehman Brothers: And is that something... if that continues to be the trend that you'll continue to trim people as we move forward or was this more of a one-time, a lot of it is headcount and cost reductions stated in the quarter?
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: Well, we'll continue to look at our revenue trends, we'll continue to look at our headcounts and make appropriate adjustments as we see that are appropriate. Clearly a large portion of the decline was not replacing attrition, and so, you typically have that option as a way to manage cost in this business, particularly in perm. So I would not considered a one-time thing, but it is something we are going to monitor quarter-to-quarter.
Gary Bisbee - Lehman Brothers: Okay. And then given the continued strong cash flow and challenges facing the industry overall, do you have any interest in increasing your appetite for M&A in a more challenging environment like this or you pretty... remain pretty confident that that organic is the way to go?
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: Well, we are always interested in very good, particularly small acquisitions where others are new, service offering, a new functional area, something that we can expand throughout our network, but as indicated by the fact that we spent virtually all our cash flow this quarter for the combination of stock buybacks and dividends we like buying Robert Half as an acquisition.
Gary Bisbee - Lehman Brothers: Okay. Are there any sort of areas that you see as real fruitful right now for pursuing new business lines or anything or...?
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: Well, let me... we're always looking at the market and we never have much to say about it until we actually do it.
Gary Bisbee - Lehman Brothers: Okay. All right. Thanks for the color.
Operator: Thank you. We will take our next question from the side of Jim Janesky of Stifel Nicolaus. Go ahead please.
James Janesky - Stifel Nicolaus: When you consider the outsized growth in perm internationally, Keith, can you give us an idea of what currency effect you had this quarter?
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: Sure. In our prepared remarks, we gave you constant currency revenue growth rates. Let me just pull that back up. So, the 36% nominal growth became 24% constant currency growth year-over-year. And if my recollection is correct, that is an acceleration of the constant currency growth rate just a quarter ago.
James Janesky - Stifel Nicolaus: Right.
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: If you take that currency out, you had an acceleration of growth outside the United States.
James Janesky - Stifel Nicolaus: Right. And do you know what that was on... what currency affected our earnings per share positively, do you have that estimate?
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: The earnings per share impact of currency is roughly a $0.01 a share.
James Janesky - Stifel Nicolaus: Okay. Thanks. When you look at the temp business by segment as we moved into the third quarter can you just... I know you don't give guidance by segment, but can you just give us an idea of... versus the second quarter where there might be... where there was some changes in the temporary units that was much different either on the positive or negative side for the temp divisions?
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: Seasonally, Office Team was typically a little bit lighter in the third quarter versus second as there are a bunch of college grads, or college students on the market during the summer. To some extent that crowd is out a little bit of your Office Team business. So seasonally it is typically a little softer. But frankly there is no... there is no seasonal trends in the third quarter, that is premature. As I said earlier, the guidance we gave on the low side assumed the slow July start continued and actually got a little bit worse. The high guidance we gave said that the slow July start with a little bit of a headache [ph] and that the quarter would be better than that.
James Janesky - Stifel Nicolaus: Okay. And what about just specifically within perm both USA and international, if I could just ask... what... can you comment on the sales cycle? You did say that your folks internationally were still pretty excited about the perm business, but, what about the sales cycle times, have they extended at all, as we move throughout the quarter?
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: Outside the U.S.? No. Inside the U.S. , probably yes. In addition to clients being more selective, taking more time to pull the trigger, you got the further challenge of it's tougher to dislodge a candidate from their existing position because, they don't feel as frothy about the market. And so that also adds a bit to your U.S. challenges in perm. But that said, as I said earlier, our perm business was only down a single-digit number year-over-year. So, particularly relative to our expectation and guidance, we did much better in the U.S. in perm.
James Janesky - Stifel Nicolaus: Okay. Thank you
Operator: Thank you. We will take our next question from the side of Vance Edelson of Morgan Stanley. Go ahead please.
Vance Edelson - Morgan Stanley: Thanks. Just two follow-up questions on the uses of excess cash. First on the acquisition front, are you seeing valuations for prospective companies to acquire as any more attractive now given the economic slowdown?
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: Well, I'd say that, a lot of the things that are out there are out there at a more attractive valuation, but the businesses you'd be most interested in aren't on the market because they know the market is depressed. And so traditionally during downturns pass, we haven't seen a huge up tick in the number of deals that we actually do, I mean clearly there is... there is a lot out there because that has to be which isn't necessarily of what we wanted to acquire.
Vance Edelson - Morgan Stanley: Okay, that makes sense. And then, also you bought the 2 million shares during the quarter, 4.7 million shares available for repurchase now. Could you just remind us what are the prospects for renewing or accelerating the buyback given the strong cash flows?
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: Just so we are clear, we bought 3.5 million shares during the quarter. I think Keith commented earlier that the impact of 2 million of those shares will be felt in this quarter rather than the prior quarter. So, we actually bought 3.5 as Keith said, as to the second part of your question. We do have confidence in our business and therefore we think our stock represents a good investment and we would expect with our Board's approval to continue buying in stock.
Vance Edelson - Morgan Stanley: Okay, that's helpful. Thanks.
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: Thank you.
Operator: Thank you. We'll take our next question from the side of Michel Morin of Merrill Lynch. Go ahead please.
Michel Morin - Merrill Lynch: Yes, good afternoon. Keith, I was wondering if you could remind us, give us some ballpark of the breakdown of your SG&A in terms of how you would think about it either available versus fixed or in terms of the key components?
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: We've long said that over two-thirds of our SG&A are payroll cost. So that's the number one, two and three thing to focus on. The fixed versus variable is a little tricky Michel because it is relative to your time horizon. In the short-term, about 75% to 80% of the compensation we pay on the temporary side is fixed. In the short-term, on the perm side, it is more 50% to 60% fixed. But given the opportunity to adjust head counts, that fixed cost becomes variable. So again, fixed versus variable is not exactly a science.
Michel Morin - Merrill Lynch: Right, okay. And then...on the personal question or headcount question. Could you give us a little bit of an idea of, if you were to benchmark your current staffing levels at the branch level, personnel per branch if you will, relative to the low point that you reached in the downturn. In other words, if things were to get really bad in the economy, how much flexibility do you have on the headcount front relative to what you accomplished in the last downturn?
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: Because our revenues are so much higher and even with the exact same percentage impact as last time which many dispute will happen, the headcounts would still be much higher than they where at the low point. Again as I said earlier we're committed to try to marry our headcounts to our revenue levels. And I think this past quarter we certainly demonstrated that, so far that's just what we're doing. But compared to this hard number or finite number meaning the number that we bottomed at in the last downturn seems a little problematic to me given our size now relative to the end.
Michel Morin - Merrill Lynch: Right, okay that makes sense. And then I just wanted to go back to an earlier question regarding Protiviti's margins, you said that if you see the seasonal up tick that you usually see in Q3 and in the second half, a lot of that would fall to the bottom line. Should we think about that in terms of an improvement at the gross margin line or are you really anticipating more SG&A leverage or a little bit of both.
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: We're hoping for both. And in fact in the United States for the quarter just ended, sequentially we reduced our direct cost and we reduced our SG&A cost and that didn't get the full benefit of the actions that were taken
Michel Morin - Merrill Lynch: Great, thanks very much.
Operator: Thank you. Our final question comes from the side of Mark Marcon of Robert W. Baird & Co. Go ahead please.
Mark Marcon - Robert W. Baird & Co., Inc.: Had a couple of quick follow-up questions. On the international side you know there is all sorts of headlines coming out of the UK. Are you seeing any slowdown at all in the UK?
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: So Mark we're seeing a little bit of slowing, it's nothing dramatic, nothing alarming. Even for the quarter just ended the growth rates we reported in the UK are nothing like the growth rates we reported on the continent. But again as of yesterday they said are things slowing a little bit, yes, but it's nothing alarming.
Mark Marcon - Robert W. Baird & Co., Inc.: Great. And then what was comp accrual versus... did you benefit from that at all this quarter, you typically do during the second and fourth quarters?
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: Well, we did have our actuary review again as we do twice a year. And I guess I'm unhappy to report that we had a small debit this time. We've taken those accruals down twice a year for some number of years. But we've essentially kind of flattened out and we had a small debit, one huge, so didn't have a credit.
Mark Marcon - Robert W. Baird & Co., Inc.: Okay, so I mean really when we just take a look at the year-over-year change on the temp gross margin that would just be the conversions and maybe just a little bit of mix with management resources being a little bit --?
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: Primarily conversions.
Mark Marcon - Robert W. Baird & Co., Inc.: Okay.
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: Primarily conversions as the U.S. perm market softens a bit, it's not unusual to see conversions soften.
Mark Marcon - Robert W. Baird & Co., Inc.: Great. And then on the Protiviti side, it sounds from your comments, you didn't say it directly, but during the last call you mentioned three markets of which two seem like they were somewhat problematic. Did you address those two markets, is that really starting to come through?
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: We are addressing all of our international markets with Protiviti. We had nice traction in the UK, which grew sequentially in revenues as well as it reduced its cost. We had nice traction in France, where it had sequential revenue growth and its cost were a little lighter. In Australia, we certainly made progress with the cost side of the equation, we didn't make as much progress on the revenues side of the equation. But again we felt pretty good about how our team addressed our issues outside of the U.S. for the quarter and we hope that continues into the second half of the year.
Mark Marcon - Robert W. Baird & Co., Inc.: Right. And then it sound... I mean it looks like you were decelerating all through last year on Protiviti on the top line. And then in the first quarter you had pickup and then again this... in this quarter again you're staying in the high-single digits. Has the Sarb-Ox run-off, has that kind of stabilized and now maybe we are even looking forward to IFRS starting to even pickup a little bit, I know it's early, but...?
M. Keith Waddell - Vice Chairman, President and Chief Financial Officer: We were very pleased with the success Protiviti has had diversifying its revenue base and I gave you examples earlier as to IFRS or some people call it IFRS. There is a lot of discussion about it in the marketplace, a lot of talk, a lot of literature. Our outside auditor send me a book that I swear is a thousand pages. So, there is a lot of motion around it, there is not much revenue yet.
Mark Marcon - Robert W. Baird & Co., Inc.: Yes. Okay, great. Emotion always comes before the revenue. Thank you.
Harold “Max” Messmer, Jr - Chairman and Chief Executive Officer: Thank you, that's all the time we have today for questions. We appreciate your interest.
Operator: This concludes today's teleconference. A taped recording of this call will be available for replay later this evening through 8 PM Eastern on July 30th. The dial-in number for the replay is 1-800-283-8217 and it is 1-402-220-0868 outside of the United States. This conference call will also be archived in audio format in the Investor Center at www.rhi.com. Thank you and have a great evening.